Operator: Good afternoon, and welcome to the Marvell Technologies Fiscal Third Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mr. Ashish Saran, Vice President of Investor Relations. Please go ahead.
Ashish Saran: Thank you, and good afternoon, everyone. Welcome to Marvell’s third quarter fiscal year 2022 earnings call. Joining me today are Matt Murphy, Marvell's President and CEO; and Jean Hu, our CFO. I would like to remind everyone that certain comments made today may include forward-looking statements, which are subject to significant risks and uncertainties that could cause our actual results to differ materially from management’s current expectations. Please review the cautionary statements and risk factors contained in our earnings press release, which we filed with the SEC today and posted on our website, as well as our most recent 10-K and 10-Q filings. We do not intend to update our forward-looking statements. During our call today, we will refer to certain non-GAAP financial measures. A reconciliation between our GAAP and non-GAAP financial measures is available in the Investor Relations section of our website. We closed the acquisition of Innovium on October 5, 2021. Therefore, the results we reported today for the third quarter of fiscal 2022 include the results from the Innovium business for 25 days of the fiscal quarter. Revenue from the acquired Innovium business is reported entirely within our data center end market. Please note that the guidance we have provided for the third quarter of fiscal 2022 on August 26, 2021, has not included in any expectations or results from the acquired Innovium. The financial outlook for the fourth quarter of fiscal year 2022 we provided today includes expected results from the acquired Innovium business for the fourth quarter. With that, I'll turn the call over to Matt for his comments on our performance. Matt?
Matt Murphy: Thanks, Ashish, and good afternoon, everyone. I'll start with a summary of our third quarter GAAP results. Revenue was $1.21 billion, which was above the high end of our guidance and represents another record achievement for Marvell. GAAP Gross margin was 48.5%, GAAP operating loss was $33 million, and loss per diluted share was $0.08. Revenue grew 13% sequentially and 61% year-over-year, an acceleration from the first half of this fiscal year. We saw great momentum in all five of our end markets, with revenue growing both sequentially and year-on-year. Our data center, carrier, enterprise networking, and auto industrial end markets all achieved record revenue and performed above guidance. Excellent operational and financial execution resulted in revenue 6% above the midpoint of our guidance. Our operations team continues to do a great job in sourcing incremental supply, and we are starting to see the fruits of their labor. Supply was better than expected in the third quarter, and we expect continued improvements as we move into the fourth quarter and next year. The additional capacity has better positioned us to catch up to the growth in demand, which so far has outpaced increases in supply. Moving on to our non-GAAP results for the quarter. Non-GAAP gross margin was a record 65.1%, and we delivered $418 million in non-GAAP operating income. Non-GAAP operating margin was also a record at 34.5%. Higher revenue, coupled with stronger gross margin drove non-GAAP earnings per share to $0.43, 13% above the midpoint of guidance growing 72% year-over-year, which represents phenomenal growth in earnings. These are tremendous accomplishments, and I am very proud of the outstanding execution by our entire Marvell team in driving such strong results. Let me now move on to discussing our five end markets, starting with data center. In our data center end market, revenue for the third quarter was $500 million, growing 15% sequentially and 109% year-over-year, exceeding our guidance. Both the standalone Marvell business and the acquired Inphi business delivered strong growth, driven by robust demand from cloud customers. I would note that our on-premise data center business also grew sequentially and year-over-year. Data center is our most diverse end market with multiple product lines contributing to sequential revenue growth. These include 200-gig and 400-gig PAM4 electro-optics, data center interconnect ZR modules, SSD and HDD controllers, cloud-optimized SoCs, and Ethernet switches. In addition to strong end-market demand, the majority of these product lines are also benefiting from the start of new product ramps, which we expect will continue to drive sustained growth. As an example, in our SSD business, we benefited from a strong ramp of DIY controllers directly to a Tier 1 cloud customer. Remember, you heard at Investor Day, Marvell has been winning a large number of incremental cloud optimized silicon designs, and these are now in development. In addition, the design win funnel and level of activity on cloud optimized silicon engagements continues to accelerate, and we have recently won another socket with our storage accelerator. At our Investor Day, we discussed this new $500 million market for our storage business and cloud storage accelerators and disclosed our first design win with the cloud customer. Now, a key storage partner, KIOXIA, recently announced production availability of their NVMe over Fabric SSDs, which will also use our storage accelerators. These SSDs are for Ethernet Bunch of Flash systems designed for applications such as artificial intelligence, machine learning, and high-performance computing. The KIOXIA SSDs connect to the network fabric natively using Ethernet by integrating a Marvell storage accelerator, which converts NVMe into 25 gigabit Ethernet. We are excited to see this new opportunity take shape with multiple customers starting to adopt our storage accelerators. Turning now to Innovium. During the quarter, we closed the acquisition, adding their cloud optimized switches to our broad data center portfolio. We're pleased that company’s Co-founder and CTO, Puneet Agarwal, and the R&D team have become a part of Marvell. We are confident that our combined switch business -- businesses are now well positioned to be a strong provider of Ethernet switches to data centers, and we see an incredible opportunity ahead for Marvell in this high-growth market. We expect the acquisition of Innovium will result in $150 million in incremental revenue next fiscal year as we ramp switches into a large Tier 1 cloud customer they had won prior to the acquisition. We are also looking forward to supporting additional cloud customers such as LinkedIn, who are deploying Innovium’s Teralynx-based switches in production across multiple data centers with the SONiC network OS. SONiC is an open network operating system, which provides cloud customers with more choice and interoperability as well as the ability to scale. We recently announced our commitment to supporting SONiC across both our Prestera and Teralynx products. Moving on to our expectations for revenue from our data center end market in our fourth fiscal quarter. Similar to the third quarter, we are expecting another strong performance led by cloud customers across a broad range of products. We expect data center revenue to more than double from a year ago, and we project sequential growth in the double digits on a percentage basis in the fourth quarter. We are pleased with the strength we are seeing from the cloud end market, which we expect will remain a strong driver of sustained growth for Marvell. Looking out further in time, we are also excited by the immense potential for another phase of growth as large-scale virtual environments such as Facebook is doing with their metaverse start to gain traction. For simplicity, while I will use the metaverse as a general descriptor for this discussion, we expect many different implementations of virtual environments enabled by a broad set of companies and ecosystems. Regardless of the form these environments take, the data sets will be exponentially larger compared to the current Internet, which is largely two-dimensional and latency will need to be extremely low to realistically simulate a real-world environment. As a result, we expect the metaverse will significantly accelerate a number of key trends, which are already occurring in the cloud today, including the need to store huge amounts of data in a secure environment, connected by high-speed, electro-optic links to custom compute engines. This next level of massive scaling makes the metaverse an even stronger candidate for cloud optimized silicon solutions that Marvell is currently enabling. This meshes perfectly with the core competencies we have already developed across compute, storage, security, networking, high-speed electro-optics and customization, which are driving our current success. And these are equally applicable to the variety of virtual environments, which we will develop over time. The metaverse also has the potential to be a killer app for 5G, another area of strength for Marvell. Multiple cloud customers have already engaged with us, as they start designing the architecture of their next generation of data infrastructure to enable a significantly richer set of virtual applications and experiences. Turning now to our carrier infrastructure end market. Revenue for the third quarter was $215 million, growing 9% sequentially and 28% year-over-year, exceeding our guidance. Growth was driven by our 5G products ramping at multiple customers. We are also able to improve supply for our wired business to enable sequential growth. Looking at the fourth quarter, we expect a strong ramp in our 5G business of approximately 30% sequentially. And as a result, we project our combined carrier infrastructure revenue across our wireless and wired end sequentially in the low-teens on a percentage basis, while year-on-year growth is expected to accelerate to over 40%. It's exciting to see the step-up in our 5G business, and we expect significant additional growth over the next several years as 5G adoption continues to grow around the globe, combined with Marvell content gains from designs we have won, but not yet begun to ramp. Moving on to our enterprise networking end market. Revenue for the third quarter was $247 million, growing 11% sequentially and 56% year-over-year, with the majority of the growth coming from standalone Marvell products. This performance was significantly better than our expectations as our operations team did an excellent job securing additional supply to better address the increase in demand for our products. From a product perspective, in the third quarter, the continuation of strong year-on-year growth was driven primarily by Marvell's Ethernet networking portfolio. We have been gaining share and benefiting from the very deliberate investments we have made in our enterprise Ethernet switch platform as well as the combined Marvell and the Quantify portfolio. In addition, our content has been growing driven by increase in multi-gig Ethernet adoption. Looking ahead to the fourth quarter for our enterprise networking end market, we project revenue sequentially to be up in the low to mid-single digits on a percentage basis and year-over-year growth is expected to remain very strong at approximately 60%. We expect this strong growth to be driven by continued share gains from Marvell products combined with ongoing recovery in the enterprise networking end market. Turning to our automotive and industrial end market, which is served primarily by stand-alone Marvell businesses. Revenue for the third quarter was $67 million, growing 16% sequentially and 114% year-over-year, driven by ongoing ramps in our auto business. I'm pleased to report that our team has now driven our auto business to over $140 million annualized revenue run rate in the third quarter, ahead of our prior expectations. We are benefiting from a faster pace of adoption of our Ethernet solutions by auto OEMs, who are prioritizing the production of their latest models, which tend to have higher semiconductor content. We are confident that we are well on our way to driving a multi-hundred million dollar revenue stream from our -- auto Ethernet business over the next few years. Looking beyond connectivity, our next multibillion-dollar market opportunity for Marvell is in automotive compute. A future of technology in cars is all about electrification and intelligence with embedded security and onboard storage in a fully networked environment. Similar to the rise of optimized silicon and cloud, automotive OEMs are realizing that to differentiate their products and deliver the most value to their customers, they need unique technology and IP to be embedded in compute silicon optimized to their specific platforms. You don't need to look too far to see evidence for the sea change. Recent industry commentary, including from Ford and Volkswagen, talks about their focus on developing internal silicon design expertise, desire to customize off-the-shelf compute and their intentions to design and develop their own shifts for autonomous vehicles. Similar to our successful strategy of partnering with hyperscale customers for cloud-optimized silicon, we are confident that our co-development business model and rich IP portfolio is equally attractive to automotive OEMs. In this model, the design is done in true partnership with the customer focusing on the portions proprietary to their platform and Marvell bringing our own unique compute, security, Ethernet networking and storage silicon IP to the table. The end solution is a semi-custom design, which represents the best of both worlds, allowing our customers to achieve their ambitions and retain control of their roadmap. In doing so, they can not only preserve their differentiation with a faster time to market, but it will also enable a lower level of investment, thanks to Marvell. We see compute becoming an increasingly important part of our growing automotive business, adding to our very successful Ethernet connectivity solutions. Reflecting this broadening of our portfolio, I'm very pleased to introduce Marvell's new brand for Automotive Solutions, Brightlane, which includes our gigabit and multi-gigabit Ethernet switches and PHYs for connectivity and our OCTEON processors for compute. At our Investor Day, we had discussed our first major auto compute win based on our OCTEON Brightlane platform. The semi-custom design is now in development. We are seeing a significant increase in compute related activity with additional auto OEMs, both traditional and new market entrants. And I look forward to updating you on our progress in this exciting new long-term growth pillar for Marvell. Turning to the outlook for the fourth fiscal quarter for our auto and industrial end market. We expect strong revenue growth to continue. We project sequential growth in the double digits on a percentage basis and year-over-year growth to remain above 100%. Moving on to our consumer end market. Revenue for the third quarter was $183 million, growing 10% sequentially and 20% year-over-year. Looking ahead to the fourth quarter, we expect revenue to grow sequentially in the low single digits on a percentage basis and year-on-year growth in the double digits on a percentage basis. We are benefiting from strong growth driven by our SSD controllers that we have targeted a differentiated sticky, long-lived and high ROI applications such as game consoles. In closing, we delivered very strong results for our third quarter, and we expect this momentum to continue in our fourth quarter and next year. Both the acquired Inphi business and the standalone Marvell business are firing on all cylinders. In the third quarter, the stand-alone Marvell business delivered strong year-over-year revenue growth close to 30%. The Inphi business performed even better. The midpoint of our guidance for revenue in the fourth quarter implies a similar approximately 30% year-over-year growth rate for each of these businesses. We are proud of these results and our outlook for growth in the fourth quarter, which is well above the high end of our long-term revenue growth target of a 15% to 20% CAGR. Securing capacity for growth remains the highest priority for our operations team even as the supply expansion comes with an increase in input costs. As we have done throughout the supply crunch, we are working with our customers to adjust prices to offset the impact of these cost increases, which led us jointly benefit from sustained growth. As we look at next fiscal year, we will continue to drive supply improvements, and we expect demand to remain above the high-end of our long-term target mode. As a result, we anticipate a sustained period of strong revenue growth for Marvell. From a base of approximately $4.4 billion in fiscal 2022, we expect the combined Marvell and Inphi business to continue growing in fiscal 2023 at the 30% year-on-year rate we are currently achieving. On top of this, we expect an additional $150 million of revenue in fiscal 2023, resulting from the Innovium acquisition. We are also excited about the setup for growth beyond fiscal 2023. At our Investor Day, you heard us describe our participation in end markets collectively expected to grow at a 13% CAGR. In addition, we have a number of growth drivers, which we expect will result in our revenue growing faster than our end markets. We discussed our expectations for a step-up in incremental revenue from the start of new design win ramps. We updated our expectations for revenue from cloud optimized silicon design wins to ramp to $400 million in fiscal 2024, a year earlier than prior projections. These wins are further projected to double to $800 million in revenue in fiscal 2025. In 5G, starting in fiscal 2024, we expect to benefit from an increase in content at Nokia, when we start ramping our 5-nanometer OCTEON embedded processors into their 5G base station. Over the same time frame, our auto Ethernet connectivity business is expected to make significant progress towards driving revenue over $500 million annually, and our electro-optics PAM, Coherent and ZR portfolio is also projected to remain on a high-growth trajectory. In summary, while we have been delivering strong results for multiple quarters, we are confident that we are still in the early stages of a sustained high-growth period for Marvell, and we are looking forward to reaping the benefits of the investments we have made in our business over the last few years. With that, I'll turn the call over to Jean for more detail on our recent results and outlook.
Jean Hu: Thanks, Matt, and good afternoon, everyone. I'll start with a review of our financial results for the third quarter and then provide our current outlook for the fourth quarter of fiscal 2022. Revenue in the third quarter was $1.211 billion, exceeding the high end of our guidance range, growing 13% sequentially and 61% year-over-year. Please note the acquisition of Innovium added approximately $5 million in revenue, which was not contemplated in our original guidance for the third quarter. Revenue growth was robust from all five of our end markets. Data center remained our largest end market, driving 41% of consolidated revenue. Enterprise networking was the next largest with 20% of total revenue, followed by carrier infrastructure at 18%, consumer at 15% and auto industrial at 6%. GAAP gross margin was 48.5%, which includes the remaining position of Inphi inventory step-up costs. Non-GAAP gross margin was 65.1% of revenue, exceeding the high end of our guidance range primarily due to better than expected end market revenue mix. In particular, revenue from our enterprise networking end market was significantly better than our guidance. GAAP operating expenses were $621 million. Non-GAAP operating expenses were $371 million, which included 25 days of Innovium operating expenses of approximately $5 million. Our GAAP operating loss was $33 million. Non-GAAP operating profit was $480 million, or 34.5% of revenue, an all-time record demonstrating the strong leverage in our operating model, while we continue to invest for long-term revenue growth. For the third quarter, GAAP loss per diluted share was $0.08. Non-GAAP income per diluted share was $0.43, $0.02 above the high end of our guidance. Earnings per share grew 26% sequentially and 72% year-over-year driven by strong top line revenue momentum and execution on both gross and operating margins. Now turning to our balance sheet and cash flow. During the quarter, cash flow from operations was $265 million. We returned $50 million to shareholders through cash dividends. We paid down $151 million of our long-term debt during the third quarter. As of the end of the third fiscal quarter, our long-term debt was $4.5 billion. Our gross debt-to-EBITDA ratio was three times and net debt-to-EBITDA ratio was 2.7 times. Inventory at the end of the third quarter was $629 million. $71 million of this inventory balance is from Innovium, including $42 million in step-up cost due to purchase price accounting. We anticipate amortizing the step-up cost over the next two quarters. We have also increased our work in process inventory to support the revenue growth in revenue we are forecasting. In summary, the Marvell team executed exceptionally well, delivering accelerated top line growth and earnings expansion much faster than revenue growth. Now turning to our guidance for the fourth quarter of fiscal 2022. Please note this guidance includes the expected results from the Innovium business for the full quarter. We are forecasting revenue to be in the range of $1.32 billion, plus or minus 3%. We expect our GAAP gross margin in the range of 47.9% to 49.8%. We project our non-GAAP gross margin will be approximately 65%. We project our GAAP operating expenses to be in the range of $630 million to $640 million. We anticipate our non-GAAP operating expenses to be in the range of $390 million to $395 million, which include approximately $15 million of OpEx for the acquired Innovium business for the full quarter. This outlook also reflects the increase in investment to support the accelerated revenue growth we are driving across the business, including the launch of multiple new projects tied to the design wins we have discussed in prior quarters. In addition, we're including a higher amount of bonus crew given our strong operating performance well above our plan. As a reminder, looking ahead to the first fiscal quarter of 2023, due to the typical seasonality in payroll taxes, our OpEx tends to increase from Q4 of fiscal year by high single digits sequentially on a percentage basis. We expect non-GAAP tax rate of 5%. We expect our basic weighted average share outstanding will be 844 million and our diluted weighted average share outstanding will be 861 million. As a result, we anticipate GAAP earnings per share in the range of a loss of $0.03 per share on the lower end to an income of $0.04 per diluted share on the high end. We expect non-GAAP income per diluted share in the range of $0.48, plus or minus $0.03. Now, let me now close with some directional comments on our investment plan for the next fiscal year. As Matt mentioned earlier, we see continued strong demand across our end markets and improvement in supply to drive our top line revenue growth above 30% in fiscal 2023. To support both near-term and long-term revenue growth, we are planning to increase our investment levels appropriately, annualize the midpoint of our OpEx guidance for Q4 for fiscal 2022, which includes both Inphi and Innovium for the full period implies a $1.57 billion baseline OpEx run rate. From this baseline, we are planning for OpEx to grow in the high single digits on a percentage basis in fiscal 2023, substantially lower than our top line revenue growth. We increased our spending to execute on significant design wins and continue to drive process technology leadership as well as aggressive pursue a growing funnel of new design win opportunities within the large $30 billion we discussed at our Investor Day. We are confident we'll continue to drive strong and sustainable long-term revenue growth and deliver earnings expansion much faster than revenue growth in fiscal 2023 and beyond. Operator, please open line and announce Q&A instructions. Thank you.
Operator: [Operator Instructions] And our first question will come from Blayne Curtis with Barclays. Please go ahead.
Blayne Curtis: Good afternoon, and great results. Maybe just a question. I know you're going to get a bunch on supply, but obviously, that seems like the biggest swing factor into the upside. So talk about that and maybe also just address the enterprise segment? Because I think that was your biggest beat and you were thinking it would be down. So just refresh my memory in terms of why you thought it would be down and maybe just a perspective on just supply in general. You said that you're signing long-term agreements. At what point do you think you'll kind of get out from under this supply constraint?
Matt Murphy: Yes. Thanks, Blayne. And what I would lead off by saying is I think the two questions you asked are interrelated, meaning the enterprise strength we saw was really as a result of a pretty big catch-up in supply. So, on the topic of supply, we're really pleased with the progress. We, like a lot of other companies have been challenged to meet this unprecedented demand. And I'm very proud to say that our team has responded really well. And so a couple of factors, one is we've driven pretty big transformation in our operations group. Part of that was signing long-term supply agreements. I'd say equally meaningful, though, was the strategic nature in which we've really engaged over the last nine months with our supply chain. Our partners understand our opportunity as well as anybody now, and they're really betting on us and they're betting on Marvell. That's helped a lot. And it's just been strong execution by the team. And so, when you add it all up, really what's happened, Blayne, is the demand has continued to be very, very strong and that's continued even until now. It's really been a story of supply catching up, and what I would note is supply has caught up a lot, obviously. But to be honest, we still aren't really making a dent yet in the unfulfilled backlog that's out there. So, it's a two-edged sword. On the one hand, it's great. We're getting more supply. On the other hand, demand continues to be very strong, and we see that going into next year. But certainly, we'll take the win in Q3 and also the Q4 guide relative to the great job our team has done. And enterprise, as we noted the last time was really -- we had a very nice Q2 on enterprise. And we were able to actually do just again -- the team has done a great job to get the supply wind up to meet the strong demand. And then if you actually look into Q4, you've got enterprise up again, and really the year-over-year story is what, I think, most impressive. I mean we're talking about 60% year-over-year growth projected in our Enterprise segment. Almost all of that is organic plan, and that will continue to grow next year. Thanks.
Operator: The next question will come from Ross Seymore with Deutsche Bank. Please go ahead.
Ross Seymore: Thanks for letting me ask the question. Matt, I wanted to dive a little bit into the guidance you gave for fiscal 2023. That was a little more detailed than I had expected, and it seems like you're exceedingly confident about the revenue growth side of it. Can you just talk a little bit more detail on -- it looks like about $5.6 billion in revenue, given the math that you said. If we took the Innovium side out, because we all have a decent idea of what's happening there, can you just talk about what the biggest drivers of that growth is going to be year-over-year? And if something happened that's increased your confidence in your ability to deliver that, whether it be the supply side coming or if you're just willing to talk more about design wins that you have kind of dropped breadcrumbs to us about over the last few calls?
Matt Murphy: Sure. I think there's a few factors, Ross. The first is we did lay out our strategic narrative at the Investor Day. So that was one setup we tried to give investors relative to where the business was heading. Second is when we look into next year where we certainly see the demand strength continuing really across all segments. So that gives us a lot of confidence. That's data center, that's 5G, that's automotive. It's also enterprise and consumer. Those are backed up with purchase orders that are in place today. So, the backlog we have is very strong. And I think the other point is we really want – and I really wanted to contextualize the growth that we're seeing in Q3 and Q4 on an organic basis with Marvell growing 30%, Inphi growing 30-ish and that effectively continuing so that the investment community understood that this wasn't a short-term bump, but rather part of a longer period of sustained growth which we believe actually has legs even beyond next year. And then the simple math, and I'll let Jean chime in. But basically what we said is just take the pro forma $4.4 billion-ish we'll do this year, if you take our Q4 guide. We believe we'll grow that 30% next year. And then on top of that, you would add Innovium. So I think your number would be actually a little bit higher when we look out to next year.
Operator: The next question will come from Vivek Arya with Bank of America. Please go ahead.
Vivek Arya: Thanks for taking my question and congratulations on the very strong growth and the execution. I actually wanted to talk about the OpEx side. If I look in the last year, you’ve basically added almost $500 million in sales and OpEx has just grown about $100 million. And when I look at the guidance you are providing for next year also, that also suggests very strong leverage in the model and EBIT margins that can get into the high 30s. So, I'm curious, Matt or Jean, what's helping drive the leverage? How are you adding almost $1.5 billion plus in sales while keeping OpEx at these levels? How sustainable is this trajectory of expanding margins?
Matthew Murphy: Sure. Maybe I'll start, Jean, and do you want to – actually, why don't you start, Jean? Go ahead.
Jean Hu: Yes, I'll start. So if you look at our investment level, as we discussed during the Investor Day, we have a strong leverage because not only our central engineering team really leverage across all the different end markets, we also focused on the cloud optimized silicon solutions and work with the customers. So we do partner with the customers to get the customer funding, too. Overall, if you look at the R&D investment, we have been doing plus the NRE we get from customer actually is significantly larger.  So I would say, our team significantly leveraged the investment across all different advanced process node and also across different end markets. That helps us tremendously. And if you look at the OpEx increase, of course, we acquired both Inphi and Innovium. Year-over-year, it actually is going to get to almost $1.7 billion. That's very much within the target model we are focusing on as our long-term business model. So it's the leverage that helps us tremendously.
Matt Murphy: Yes. I think that was well said by Jean.
Operator: The next question will come from Timothy Arcuri with UBS. Please go ahead.
Timothy Arcuri: Thanks. Jean, inventory was up about $100 million, if I exclude Innovium. And you did talk a lot about this being WIP and the fact that you're taking WIP up given how much you think you can grow. But I guess the question is really on your visibility on revenue. And I guess I'm surprised that you were able to build that much inventory and maybe you can talk about whether delinquencies got any better. Thank you.
Jean Hu: Yes. Actually, we have improved the supply significantly. However, demand continued to outpace the supply. So we have not made a dent on the delinquency we have as a company. As Matt discussed earlier, if you look at the fiscal 2023, we see strong demand, a significant revenue ramp across all our end markets with our unique product cycles. So 30% -- over 30% year-over-year growth literally. As a matter of fact, if we look into Q1 sequentially, seasonally it will be a down quarter. But for the coming Q1 fiscal 2023, we actually see sequentially revenue increase, approaching mid-single-digit on the basis of a very strong guide for Q4. So the inventory build primarily they are all work in process inventory to support not only Q1 revenue growth and beyond the Q1 for the sequential quarter-over-quarter increase in the next year to support the over 30% top line revenue growth.
Operator: The next question will come from John Pitzer with Credit Suisse. Please go ahead.
John Pitzer: Yes. Good afternoon guys. Congratulations and thanks for letting me ask the question. Matt, one of the key strengths of your businesses is that the design cycles for a lot of your products are fairly long and fairly visible. And I would argue that revenue growth that you have confidence in next year, notwithstanding some of the supply constraints was based upon design wins that you've had for a while. I'm just kind of curious, can you talk about the design pipeline and the momentum in the design pipeline today and how you expect it to progress through next year? And my guess is it's going to continue to be strong, if not accelerate. And if that's the case, not wanting to get too far out in front of you, the long-term growth rate you put out in the Analyst Day, why wouldn't that just move up structurally higher? I know it's less than a quarter 4 since you did that. But if you could give us some sense of how you're feeling around the design pipeline?
Matt Murphy: Yes. John, it's a great question. I think the way I would answer it is, you are correct in that the design cycles our products are quite long actually, and -- but they also come with very long visibility as well. So the revenue that we've got for next year, those designs are done. I mean they've been done for in some cases for a year, as an example, like in automotive. So then you got to go back a couple of years and say, well, what is the design win funnel and pipeline and closure rate look like, say, two years ago or three years ago? And then what is that translating to? What I would comment on is our design win funnel and close rate in the last three years has gone up dramatically each year. And this current year on track for our sales team is on track for a beyond record design win capture. So the design wins are growing each year. That is a great leading indicator for us, for sure. And I think to your other question about the long term, look, we did our Analyst Day, we put on a long-term model. There will be ups and downs if you take a long-term view. But I think what we're saying is at least in the short term, i.e., Q3, Q4, also FY 2023 and we believe even beyond, we can run above that model, and we're very bullish on our business.
Operator: The next question will come from Tore Svanberg with Stifel. Please go ahead.
Tore Svanberg: Yes, thank you. Let me echo congratulations. I had a question on 5G. You're expecting 30% sequential growth in the January quarter. Could you just elaborate a little bit on what's driving that? I do know you have some – some new customer design wins that are ramping and content growth, but especially as we think of it from a sort of regional deployment perspective. Any more color you could share with us would be great. Thank you.
Matt Murphy: Sure, Tore. To your point, yeah, we had, last quarter, said and signaled that we anticipated a step-up from Q3 to Q4 in our 5G business. Now we've quantified it, which we see a growing 30% sequential. So great step-up, great validation of the thesis in that business and what's exciting, I guess, is it's primarily driven by new product ramps at some of the key customers, particularly in the baseband area and then also geographies ex-China deploying 5G. So – and we see that growing pretty strongly throughout FY 2023, our 5G business as we're highly diversified, both by customer, by geographies that those customer service and then by the content which we have, most of which is still in front of us. If you think about one of our biggest opportunities is really the transport processor area where we've won an additional customer we outlined a few years ago. That's going to ramp in 2023 calendar. So there's a nice layering effect Tore, but I would say, it's certainly nice to see a one quarter step-up, but we certainly see growth from here. You've got US, you've got Europe and there's a lot of optimism around India as well next year. So I think the geographic mix is in our favor as well.
Operator: The next question will come from Harlan Sur with JPMorgan. Please go ahead.
Harlan Sur: Good afternoon and congratulations on the strong results and execution. I would assume that, 16-nanometer is sort of the workhorse volume technology now. The team's 7-nanometer products are ramping strongly, where you've got 200 and 400-gig Polaris and Porrima PAM4 products. You've got your Canopus 7-nanometer DSP for data center interconnect ramping. And then on top of that, your 5-nanometer pipeline is quite strong. What I think you guys said at the Analyst Day, you have 20 tape-ups over the next 18 months. And I think the team has already been sampling a number of different 5-nanometer products. So when does the team expect 5-nanometer revenues to become a material part as the revenue mix? Is it calendar year 2022? Is it more likely 2023? And are the first meaningful 5-nanometer revenues going to be more cloud focused or carrier focused?
Matt Murphy: Sure, Harlan. Yeah, I think what I'd frame your question around the process technology road map, where is Marvell today, and you're right. Some of those examples are spot on relative to some of the optical components, et cetera. But we've got a diversity of process technologies that we use. Some of those came from different acquisitions. But you're in the ballpark. I think where it leads to is really 5-nanometer, where in the case of the kind of classic Marvell business, we effectively skipped 7, right? So there was a big investment in 5. That is going to be led by carrier in 5G. That's where the initial ramps will occur. Those products are getting ready to go to production. So we'll see revenue in calendar 2022 on 5-nanometer for our OCTEON products. But that's the initial ramp phase. It will really kick in more in 2023 and 2024. And then you'll see some of the DPU products and then a whole host of other 5-nanometer products really hit the market kind of in that 2022, 2023 time frame. Effectively, the entire company road map has converged on this 5 platform from storage to networking to -- even the Inphi business is going to move there and take advantage. And so a little bit pursuant to Vivek's question earlier, we just -- we get tremendous leverage out of this process and technology platform that we put together that we actually articulated even a couple of years ago at our 2020 Investor Day. And that's really paying dividends relative to managing the OpEx efficiently and being able to take out a significant number of designs in 5-nanometer that are going to last for a very, very long time. But certainly, it will be 5G first, then carrier. And then you're going to see all the other markets, enterprise, automotive, optical, you name it. So this has got a lot of legs behind it.
Operator: The next question will come from C.J. Muse with Evercore. Please go ahead.
C.J. Muse: Yes, good afternoon. Thank you for taking the question. I guess, I wanted to clarify on the supply side and then ask a question on auto. So on the supply side, as you indicated in terms of roughly $5.9-plus billion for fiscal 2023, are you saying that you secured that and then some? Or can you give us some clarity there? And then your commentary on the auto compute side very intriguing. I would love to hear more, Matt, in terms of how we should be thinking about the timing of sort of initial design wins and when that should start to materially hit the model? Thank you.
Matt Murphy: Sure. Yes. On the first question on supply, yes, we feel good about that range we gave for next year. Certainly, there's still a lot of moving pieces, and we've got a lot of execution in front of us. This is not a lay-up. Things have not eased up. It's not like all of a sudden supply has loosened. And what I would say is that the growth next year really just comprehends kind of keeping up with demand. There's still going to be some unsupported backlog probably that we can't quite get to. So we're working on that as a potential as well. But we certainly feel good about the 30% growth and that growth rate continuing, which is really where we were in Q3. That's where we're going to be in Q4. And what we're saying is we anticipate we can keep growing our revenues at that rate when you look out to next year. But obviously, we're going to try to do even better. On the automotive compute side, yes, it's pretty new. It's a little bit like some of our other markets where we gave some initial indications as we were gaining traction and then the story evolves from there. But yes, I'd say we're well underway on our first design and the level of activity going on with the automotive OEMs around this topic is kind of off the charts at this point. I think there's such a – it's almost like a – there's a renaissance C.J., I think, in what I would call the infotainment age, when automotive OEMs really embrace these consumer technologies and all of a sudden, you've got things like USB chargers in your car. You've got state-of-the-art audio. You got touchscreens. This consumer tech went in. That had a big benefit to semiconductor companies. What we've been saying for a while, and it's coming true now, is that the data-centric semiconductor products and IPs will be the next wave of growth. We're seeing that in our networking products now, but it's very much moving to a compute-centric discussion. And there's a whole bunch of ways to skin that cat, but our model will be unique in that we're approaching it very similarly C.J. to what we do in the cloud market, which is coming in with a broad IP portfolio, partnership-oriented model, build what somebody wants, let them put their stamp on it if they want to and really customize and optimize for their particular system and use case and bring all the goodness of all the Marvell IPs with it. So it's pretty interesting discussions. There'll be more to come there, but we think this is going to be a very large long-term opportunity for the company.
Operator: The next question will come from Mark Lipacis with Jefferies. Please go ahead.
Mark Lipacis: Thanks for taking my question. Matt, if I think about the kind of portfolio of assets that you kind of pulled together here, I think about you have interconnect capabilities with Inphi, processing capabilities with Cavium, networking capabilities from Innovium and native Marvell. And I'm wondering to what extent as your customers are coming to you for semi-custom solutions, are they asking you to deliver solutions to them that are a mix of two or more of those kind of different capabilities. And so that would be the question for your customers as well as like how you're thinking about delivering complete optimized computing solution on the merchant side. And maybe as part of that, could you just – as you have embrace the semi-custom model, can you share with us your view, like what does Marvell look like pick the time, 3, 5, 10 years down the line? What is a merchant model versus a semi-custom model? What – how do your revenues split along those dimensions? Thank you.
Matt Murphy: Sure. Yes, Mark, I think you highlighted it well. There's a pretty incredible set of assets inside the company now that I would argue is very unique in terms of all of these being under one roof. I would actually add there's even more. I think you gave three great examples. I would say our security IP, storage and I/O. And you're absolutely right, when we engage in our various business models, whether it's a full custom design or, call it, a semi-custom partnership design with a mix of IP from the customer and ours, every one of those IPs gets put on the table. And we gave an example actually in the prepared remarks about the storage accelerator opportunity, where it's not just a storage product, it's got CPUs, it's got security and it's got some pretty advanced network interfaces, especially when you talk about things like going from NVMe to Ethernet as an example. So very unique, and it's part of our value prop and the fact also that we can do this under one roof. And despite the fact that a lot of these IPs we have or these people we have come from other companies, it's a one Marvell culture in our company. And so when we go and engage, this doesn't look like 12 business units or, oh, there's the Cavium team. I don't know if somebody has to go work with them and there's the Innovium team. There's one integrated go-to-market strategy and technology platform, and it's very powerful. And I think it's going to become even more and more relevant. And I would say, we don't really think about our business, Mark, at this point between pure merchant, pure semi-custom, pure custom. I mean there's all these different business models in-between. And even our merchant products, what we're finding, like let me give you an example in storage. We end up doing a fair degree, for example, on our high-end data center class SSD controllers now. We're doing a fair amount of customization, particularly on the firmware and the software, as an example, for each individual customer that makes it very, very sticky. And occasionally, we'll spend a metal option off and we'll give them a certain feature that they want or need. But yes, in a way, a lot of our business already today is effectively customized in the standpoint that we've really optimized it for the application. And that could be in the hardware or it could be in the software and the firmware. So I think that that those lines are fairly blurred now is what I would say, Mark, and I think it's good. I think it enables us to stay flexible, and it's enabling us to win new accounts.
Operator: The next question will come from Srini Pajjuri with SMBC Nikko Securities. Please go ahead.
Srini Pajjuri: Thank you. Matt, a couple of clarifications actually. First, on the pricing, I think you mentioned that you've implemented some pricing actions to offset the higher input costs. I'm just curious where we are in that process and how broadly you're implementing those and to what extent that might be helping the top line as we go into next year. And then the second part of the question is obviously a very strong outlook for next year. I'm just curious, given your breadth of products and end markets that you participate in, I'm guessing there's probably not going to be much seasonality, but I'd love to hear your thoughts on first half versus second half in terms of how you view the top line playing out next year? Thank you.
Matt Murphy: Sure. How about this? I'll take the first one, and then I'll let Jean talk about the second one. Yes. So on the first one, so let me take you back on pricing. It was about this time a year ago when I got a call from our ops team that said we have some serious issues because we're getting a number of price cost increases from a whole bunch of our different suppliers overseas and what are we going to do? And this is like what. And I spent the month of December negotiating higher cost increases by my supply chain a year ago. And we then worked and managed to pass those through earlier than the year. Each time we've secured additional capacities, Srini, we end up in a lot of cases, having to bear a higher input cost. That's been part of the drill as supply has come available. And so I would say that this has been a gradual process. It's gone on throughout the year. It continues to go on. I think there continues to be inflation in the supply chain. And our philosophy has been to be real fair about that, be very partner-oriented, not take advantage of it. And so while it has flowed through the top line throughout the year, the biggest benefit of the growth we're seeing, it's just the raw demand, the design wins, the value that we're capturing. And certainly, there's a slight tailwind on the top-line but it's almost all from demand. And we certainly see that trend continuing through next year. Jean, do you want to cover the view of 2023?
Jean Hu: To just follow what Matt just said, right, next year, we see strong demand across all our end markets. Frankly, it's a supply constraint when we talk about over 30% revenue growth. That's a supply-constrained outlook of what we're looking at. So the normal seasonality definitely does not apply here. We see Q1 sequentially on a very strong Q4 base to increase approaching mid-single digit. And after Q1, we will see continuous sequential increase. Supply dynamics is certainly something our team will continue to drive. But absolutely, if we have more supply, we definitely have more demand. We can ship more products to customers. So you should expect we see sequential increase each quarter for the rest of the next year.
Operator: The next question will come from Christopher Rolland with Susquehanna. Please go ahead.
Christopher Rolland: Thank you for the question. Fantastic update in the quarter. I was going to dig in on the hyperscale custom silicon side as well. Maybe if you guys could talk about – in terms of your outlook, your big outlook there? How many of, let's say, the top seven big hyperscalers are you guys engaging? And it was kind of touched on, but storage versus networking and optics, where are you guys getting the most interest? I think you kind of covered that. But – and then finally, this is probably too much to ask for. But in the past, we've had some NREs associated with these hyperscalers? Are those NREs still coming in? Or are you guys on your own?
Matt Murphy: Sure. I think on the first question, I would say, we're engaged broadly. The opportunity and the activity, though is primarily centered around the big four in the US. That's where the technology leadership is. That's where the thought leadership is. But we are – and I think that's where the biggest drivers of our growth are going to come from. I think a lot of the others will follow. And so I think there's leverage we're going to be able to get from that, but we're very well engaged across the board. And when we say custom, you're right, it's certainly custom compute silicon for different types of workloads and applications but also storage, networking, optics. It's quite a broad range of technologies that we engage with and security as well. On the NRE front, that continues to be healthy. And that's not just a hyperscale story, that's really broad-based across all of our businesses. And we get actually really good visibility because when we start developing these products, custom, semi-custom, whatever the model is, there's a development agreement that comes with that. They're milestone based. Customer wants to have – wants to have teeth. They want to have skin in the game, so do we. So that's typically where the NRE then gets mapped out over a fairly long period in some cases. So we have a nice road map and a view. And Jean's team actually does a great job of being able to forecast the NRE and manage it, and it continues to grow. That's part of the leverage that we're getting into next year is the OpEx is going to grow, but also the NRE is going to grow. So that's enabling us to we get kind of a double whammy, right? Because while we're growing our OpEx, and we're hiring people and we're staffing up, we're growing the NRE as well. And so think of that as this incremental spend we've got that's not completely visible, but yet contains very important engineering resource and R&D resource that gets deployed towards high ROI projects that spit out several years later. And so it's a really -- I think it's a virtuous cycle. And our team has done a really good job of managing that as part of the business model. I would -- on the final kind of example, on the automotive compute design win, we talked about, it is heavily funded by R&D -- by NRE, excuse me. And again, that's a multi-year project. And it's so critical. I mean, you basically can't build a car without it. So you got to imagine, it's going to be really important to have a real significant contract around that and for us to have a significant co-funding to make it happen. So it's a pretty important part of the business model, Chris, and it continues to be healthy. Thanks.
Operator: The next question will come from Quinn Bolton with Needham. Please go ahead.
Quinn Bolton: Thanks for squeezing me in. Hey, Matt, you gave us a great outlook through fiscal 2023. But as you looked out beyond fiscal 2023, I think you mentioned you see another big step-up in the 5G business at Nokia, the 5-nanometer platform starts to ramp. I'm just wondering, can you give us a sense, is that step-up really Marvell capturing even greater content on your current share of base station to that customer? Or do you think your 5-nanometer platform is allowing you to grab greater share that customer as the 5-nanometer platforms ramp? Thank you.
Matt Murphy: Okay. Let me give you a broader answer and then I'll dive into the 5G. So just as you think about the growth from fiscal 2023, next year to fiscal 2024, the biggest overall growth actually in step-up is in the cloud. And you remember, Quinn, at the Investor Day, we outlined this sort of very strong design win activity we had, which was going to result in the $400 million incremental revenue in fiscal 2024 from cloud and then going to doubling again the year after. So that -- when you think of a step-up, that's where that's coming from. 5G is also kind of right behind, and that's going to be very strong as well. And to your point, one of our key partners and customers there is Nokia, as you mentioned. That in 5-nanometer is where we not only support them on their ambitions around baseband, but also on the CPU side and transport processing side. And so that is content gain. That is new for us that starts at that time. That's all been planned. That's been all kind of going well and tracking to what we thought. But I thought it was important to note that the timing around that and highlight that we have more legs even in 5G beyond next year, because that will just really be the first full year of production there. So actually, we won't even peak for years after. So, really strong outlook on cloud and 5G in fiscal 2024 and beyond. And then, of course, you got the automotive story layering in and all that drives a lot of goodness in the model.
Operator: The next question will come from Toshiya Hari with Goldman Sachs. Please go ahead.
Toshiya Hari: Thank you for squeezing me in, and congratulations on the very strong results. Matt, I wanted to ask about the enterprise networking business. You talked a little bit about your share growth in Ethernet, I believe. I was hoping you could elaborate on that a little bit. What's driving the success? And if you can speak to sustainability there. And then as my second part, again, sticking to enterprise networking, I think all of us appreciate the secular nature of your business in data center and 5G and auto and industrial. I guess, enterprise networking is perhaps at least on a relative basis, a little bit more cyclical in nature. With the business growing kind of in the 50% to 60% range year-over-year, how should we think about sustainability of growth as we transition into 2022? Thank you.
Matt Murphy: Sure. Yeah. So maybe I'll answer it in two pieces. The first is you're probably asking is, well, what happened? Why? How did you guys do this? And I think if you look back, we've had a commitment to enterprise, okay, from day one, when I became CEO. We never milked the cow. We never took this market for granted. And most of this growth, as you noted, is organic Marvell, right? So this comes from our Ethernet switch team, which really focused on leadership products, latest process node, very strong software capability from our switch business unit and a real focus on the enterprise market, in new products and new product development, product definition. So that had a huge benefit that started three or four years ago and now those designs are ramping. The second is in our Ethernet PHY transceiver business. We've also moved that from being a technology laggard to a technology leader in Ethernet PHY. And we also did an acquisition of Aquantia, which was a relatively small company when we bought it. But when we put the two teams together, the combined share that we've been able to drive has been very significant. And the road map we were able to accelerate dramatically. That's one of our product areas as an example that we're driving to 5-nanometer, okay? And then that has all kinds of integration opportunities. So customers like the road map. They like the team. They like the story. And that's now showing up. And certainly, the enterprise market is not growing at 50% a year. So you have to draw your conclusion. There's been certainly a share shift as customers have adopted our solutions. And we do believe that, this business is going to continue to grow. It will grow next year. It may not grow on the annualized basis at 50%, because you're going to start lapping at some point and we're coming off of a relatively low point from last year. But also remember, our content has gone up on each of these generations as multi-gig Ethernet becomes much more prevalent and especially as enterprises are spending again and implementing WiFi 6, which requires high-speed wired Ethernet connections at multi-gigabit we're seeing switch ports go up on multi-gig, which has our PHY attached to it plus our switches. So there's also a content story here, Toshi. So I wouldn't exactly say, well, enterprise is like a low single-digit grower and eventually, will trend back there. I think between product leadership, share gain and then content increase, enterprise can continue to be a winning business for Marvell.
Operator: This concludes our question-and-answer session as well as our conference call for today. Thank you for attending today's presentation. You may now disconnect.